Dominic Paul : Good morning, everyone. I'm Dominic Paul, and I'd like to welcome you to Whitbread's Full Year 2024 Results Presentation. We’re beginning with a remote webcast of our results presentation, followed by a live Q&A session with myself and Hemant Patel, our Group CFO, who you'll be hearing from shortly. Details of how to join the call can be found on our website, and we look forward to answering your questions. Today, we are going to take you through a review of our performance over the past year, our strategic and commercial plans for full year 2025 and how they are going to drive our business forward in the future and an update on our guidance and outlook, including current trading as well as our latest thoughts on capital allocation. I want to begin with a summary of our results, followed by an overview of our future growth plans, which underpin our confidence in delivering a step change in our performance over the next few years. In the UK, Premier Inn is the Number One hotel brand, providing high-quality rooms at highly competitive rates. With 92,000 rooms open and committed, we see a significant opportunity for further growth towards our long-term rooms potential of 125,000 rooms. In Germany, we’ve made really encouraging progress this year and are becoming a business of scale, with great momentum as we continue to progress towards our ambition of becoming the country's Number One hotel brand. The engine powering our strong market position and our ambitious growth strategy is our vertically integrated operating model. As we own, operate and manage all of our hotels, we capture and control all key elements of value chain. This differentiates us from many other hotel groups and is very difficult to replicate. As a low-cost operator, our direct distribution channel gives us a significant advantage and alongside our clear commercial program helps us to maximize the conversion of market demand into revenue. Ownership of our operations, means we continue to invest in our product, giving our guests a fantastic high-quality experience every time they stay with us. The strength of our balance sheet is backed by our significant freehold estate, giving us access to the best locations with more favorable terms and control over our state development, including the option to build extensions, something I will come back to you later. Finally, being a budget brand, our relentless focus on driving material cost efficiencies is essential to offset inflation and drive margin growth, whilst continuing to offer great value for our guests. By operating in the right way through our Force-for-Good program, these elements are combining to reinforce our market-leading guest proposition, reward our teams, deliver record financial performance and drive increasing long-term returns for our shareholders. We have had a fantastic year and have delivered our highest level of profits and cash flow since becoming a focused hotel group. Our UK business is the key driver behind this performance with our hotels outperform the rest of the mid-scale and economy sector and delivering strong revenue growth. Our continued focus on delivering material cost efficiencies meant that profits and margins were significantly ahead of last year, which was already a strong year. As you know, our strategy is to drive long-term returns. And so I was delighted that our UK business achieved its highest ever level of return on capital of 15.5%. In Germany, we have continued to make really good progress, we added over 1,400 rooms this year and reduced our losses, reflecting the continued maturity of our estate and a much improved trading performance. This strong group performance translated into over GBP1 billion of EBITDA, which we are reinvesting to drive future growth, as well as fund dividends and capital returns to shareholders. Given the strength of our performance, our robust balance sheet and confidence in the outlook, we’re declaring an increased final dividend and further GBP150 million share buyback. This will take our cash returns to shareholders since April 2023 to over GBP1 billion. The business is in great shape and performing well, but we’re determined to go further by delivering a step change in our future financial performance. Our priorities are extending our market-leading position in the UK, replicating that success in Germany, and ensuring we have the necessary infrastructure and resources to support future growth. In the UK, we are taking advantage of the structural decline we have seen in hotel supply by optimizing our food and beverage offer, at a number of our sites to increase our room growth through our Accelerating Growth Plan. This will grow our rooms pipeline by 50% and over the next five years, take our open UK estate to over 97,000 rooms. By replacing loss-making restaurants with high returning hotel rooms and by executing our other commercial plans, we will increase our market share and deliver increased profits, margins and returns. As you will have seen, the UK market has been slightly softer in the first few weeks of full year 2025. However our outperformance has continued, and our forward booked position is well ahead of last year. With our plans announced today, we have a clear pathway to extend our market-leading position even further. In Germany, with 59 hotels now open, we’re continuing to improve applying the learnings from each of our trading hotels as we grow further. With 34 hotels in the current pipeline, we determined to fulfill our ambition of becoming the Number One hotel brand. We are on track to breakeven on a run rate basis this year, which is an important milestone on our journey towards our target of 10% to 14% return on capital. In support of the first two priorities, we have created a great foundation for future growth, following the successful upgrade to our reservation system and technology stack. We now have all of our hotels operating successfully on the new system, which will increase our digital agility and unlock significant future commercial and operational benefits. At the same time, we have today announced Premier Inn's biggest cost efficiency program, which will drive increased saving and support margin growth. These plans together will deliver a significant step change in our medium-term profit, margins and returns which I will come back to a little later. But first, I'll hand over to Hemant to take you through our financial performance in more detail.
Hemant Patel: Thank you, Dominic, and good morning everyone. As Dominic mentioned, this is a fantastic set of results following on from a very strong year last year. Revenues were up 13% led by the performance of our UK hotels and continued progress in Germany. Inflation and the addition of over 3,000 rooms to our estate across the UK, and Germany meant that operating costs did increase. However, the inherent leverage of our vertically integrated model and the delivery of GBP50 million of cost efficiencies in the year meant that EBITDA grew by 19% to over GBP1 billion. When added to higher interest on our cash balances, our adjusted profit before tax grew by 36% to GBP561 million. There was an increase in adjusting items, most of which related to the non-cash impairment of a number of our branded restaurants that are being converted or sold as part of our Accelerating Growth Plan that Dominic will cover shortly. The net result was that statutory profit increased by 21% to GBP452 million. The strength of our UK hotels' performance and reduced losses in Germany meant that group ROCE increased to over 13%. We have returned GBP750 million to shareholders over the past year, and our balance sheet remains robust with lease-adjusted leverage of 2.9 times. I will now run through the drivers behind this performance, starting with our UK business. UK revenues grew by 10%, led by the performance by hotels with a combination sales well ahead of last year. The increase in operating costs, reflects the addition of over 2,000 rooms to our UK estate and cost inflation of around 8%. However our strong revenue growth, the delivery of GBP50 million of cost efficiencies and the strong operating leverage of our model meant that pretax margins increased to 21.2%. And our UK business reached its highest ever level of return on capital employed at 15.5%. Digging into the numbers a little deeper. The strength of our hotel performance reflects both our clear commercial program and the significant reduction in UK supply. High levels of both business and leisure demand meant that occupancy remains 6 percentage points above pre-pandemic levels at over 82%. Together with a strong increase in average room rate, RevPAR increased by 10% versus last year or to 40% ahead of FY '20. One of the key pillars of our commercial program is our automated trading engine that dynamically responds to changes in demand, optimizing the trade-off between occupancy and room rates in order to maximize revenue. In FY '23, we grew occupancy ahead of the market whilst taking less price. This year the evolution of our trading strategies meant that we retained high levels of occupancy, whilst growing average room rates ahead of the mid-scale and economy sector. The addition of over 2,000 rooms to our estate meant that we grew revenues a full 3 percentage points ahead of the market. Despite the growth in our estate, we still managed to increase our RevPAR premium versus the market from just under GBP5 last year to around GBP6 this year, and we have extended this outperformance into FY '25. Moving on now to Germany. Revenues grew strongly this year, reflecting the addition of eights hotels to our estate and the increasing maturity of our existing hotels. Operating costs in the year increased to GBP151 million, reflecting our estate growth and higher levels of inflation. We continued to tailor our proposition and refined our operating model to further improve our performance. Therefore, adjusted losses before tax reduced to GBP36 million this year, in-line with our previous guidance. The performance of our more established hotels cohort is continuing to improve, delivering a profit before central overheads of GBP9 million, a GBP6 million improvement versus last year. This performance is giving us real confidence as we continue to progress towards our long-term returns target of 10% to 14%. We have made good progress versus the market this year as we continue to optimize our commercial strategy in Germany. Our momentum increased during the second half of the year supported by the enhancements we've been making to our automated [trading] (ph) engine alongside the continued maturity of our estate. Our cohort of more established hotels up for the market and delivered a RevPAR of EUR58, up from EUR51 last year. The strong profit performance we achieved this year converted to operating cash flow of GBP787 million, helping to fund our high-returning CapEx program, as well as returns to shareholders. We also received GBP57 million of disposal proceeds, including the sale of an office we built as part of the hotel development in Farringdon, Central London. As a result, our cash flow before shareholder returns increased to GBP286 million, and we paid GBP756 million of cash returns to shareholders by increased dividend payments and two share buyback programs. Our balance sheet is underpinned by our freehold property estate and a significant source of competitive advantage for the group. Our estate was last valued in 2018 at GBP5 billion to GBP6 billion, a value in which we still have confidence, while we wait for the right time to initiate a further valuation. Only freehold means we have control over the development and quality of our estate such as our ability to build low-risk extension rooms and keeping component of our Accelerating Growth Plan. It also allows us to hedge against property cost inflation contributing to our strong financial covenants and providing access to a flexible source of funding via sale and leasebacks. Remaining investment grade unlocks commercial and operational benefits for us and is therefore, a key pillar of our capital allocation framework. At the year-end, our lease adjusted leverage was 2.9 times, which is within our threshold of 3.5 times. This year we also received an upgrade to our rating from Fitch from BBB minus to BBB flat. I'll come back later on to go through our latest thinking on capital allocation. But now, I'll hand back to Dominic to talk through our strategic priorities in more detail.
Dominic Paul: Thank you, Hemant. I'm now going to spend some time taking you through the strategic initiatives that will deliver a step change in our profits, margins and returns. Now starting with the UK. As I said in my introduction, we are pretty unique, and our vertically-integrated model sets us apart from many other hotel groups. When combined, these elements allow us to deliver a high quality, great value proposition for our guests. This has resulted in our unrivaled position as the UK, market leader for both quality and value a position that we have held for many years. Following the impact of the pandemic, there has been a structural reduction in U.K. hotel supply. This reflects both the ongoing migration of demand from non-branded to branded hotels and a significant decline in the number of independents. The majority of these hotels have already been converted to alternative use. And so their exit represents a permanent shift in the market. At the same time, with higher interest rates and persistent inflation, it’s clear that developers are still struggling to secure funding causing a slowdown in new construction projects. We, therefore don't expect hotel supply to recover to 2019 levels until at least 2028. This has created a major opportunity for Premier Inn. We have a clear strategy to take advantage of this opportunity, one that will see us extend our market-leading position and drive profitable growth, margins and returns. Our strategy has a number of elements. First, I will outline our Accelerating Growth Plan that will optimize our food and beverage offer, whilst also allowing us to take advantage of the structural shift in supply by significantly increasing our rooms pipeline. Next, I will summarize some of the commercial levers we have in plan to help us maximize the conversion of market demand into revenue, sustaining our outperformance versus the market. I'll then run through how we are ensuring we continue to maintain our high-quality, consistent experience for our guests through our passion and focus on operational excellence. Since the pandemic, whilst our UK hotel performance has gone from strength to strength, some of our branded restaurants have been more challenged. A reduction in footfall at the same time as inflation has increased their costs impacting their performance. Our Accelerating Growth Plan allows us to take advantage of the UK, supply opportunity whilst also optimizing our food and beverage offer. Today, we have over 400 branded restaurants in our estate, which serve both our hotel guests and their local communities. By converting 112 of our lower returning branded restaurants into new hotel rooms, we can expand into locations where there is strong demand and a shortage of supply. At the same time, as we significantly improved the efficiency of our food and beverage offer. We've also started a process to sell a further 126 of our loss-making branded restaurants. For each of these sites, food and beverage will move to a more efficient, integrated offer, a format that is highly popular and already serves the majority of our hotel guests. Our plan will require approximately GBP500 million of investment spread over the next four years and will be funded by our existing annual CapEx program. As set out at the bottom of this slide, these changes are expected to result in a short-term reduction to UK profits in full year 2025 of between GBP20 million to GBP25 million, as we transition these sites to the new integrated format. However, with the removal of lower returning restaurants and the addition of new high-returning extensions, the plan will deliver a significant increase in both profitability and returns. By full year 2029, as the new extension rooms start to mature, we expect the plan to deliver adjusted profit of between GBP80 million to GBP90 million. Once complete, the plan will give us 3,500 high-returning hotel rooms, a better experience for our guests and a significant increase in both profitability and returns. To bring to life the benefits of our plan, we have shown here the impact of the change on our Inverness West hotel, which is already operating at occupancy levels above 80%, but the neighboring branded restaurant is loss-making, acting as a drag on the site level returns. By converting the loss-making branded restaurant into a 40-bedroom extension with an integrated food and beverage offer, we expect to deliver a significant uplift to site level profitability that will drive a 3 percentage point increase to site returns. Extensions are a low-risk, capital-efficient avenue of growth. Because we are putting the new rooms into locations where we know there is already strong demand and a shortfall in supply, we are highly confident in delivering this uplift. By utilizing our freehold estate, we have no additional land or lease costs, delivering additional efficiencies compared to adding rooms through new build hotels. Our committed pipeline stands at around 7,000 rooms today, which is below where we were before the pandemic. Our extensions program boosts our rooms pipeline by 50% and will increase our market share in high demand catchments. By full year 2029, we will have over 97,000 rooms open an uplift of over 14%, whilst delivering increased levels of returns, giving us real momentum, as we continue to progress towards our long-term room potential of 125,000 rooms. Alongside our Accelerating Growth Plan, we have a strong commercial program to offer guests more choice and to increase our revenues. Our automated trading engine is a key pillar of our digital platform and a significant source of competitive advantage. Our commercial teams are continuing to improve our trading strategies to ensure we remain ahead of the market. Earlier this year, we completed the migration of all 900 of our hotels onto our new reservation system, which will unlock a number of additional revenue opportunities in the future. And we have continued to expand our product offer with the rollout of our Premier plus rooms as well as a new twin room concept and we are optimizing our rate classes, which offer our guests more choice and flexibility. Maintaining a well balance mix of both business and leisure guests is essential to maximize occupancy across the trading week. Our business guests tend to drive higher room rates and travel more frequently than leisure guests. Having grown both business booker and business account substantially over the past few years, we now plan to simplify our proposition by integrating both channels into a single offering called Inn business. A further opportunity for us is to continue to build our partnerships with travel management companies, and we are expanding and strengthening our existing relationships with incentivized commission structures in order to drive higher volumes of high yielding business customers. Maintaining our passion and focus for operational excellence is pivotal to us delivering a high-quality guest experience. The fact that a high proportion of our bookings by returning guests tells us that we are delivering on our brand promise. Across our food and beverage proposition, we are continuing to optimize our menu types by location, ensuring that our guests can access the food and beverage option they want. Operating at high levels of occupancy requires that our team members go the extra-mile to deliver for our guests. We recognize the importance of investing in pay and development to ensure our teams are appropriately rewarded. We are pleased that our efforts over the last year resulted in an increase in team engagement and also stability with a 10 percentage point increase in the number of team members now having at least 12-month service. We'll also continue to invest in our core proposition by rolling out our new standard room format, ID5, with over 5,000 room upgrades planned this year. And we're also expecting to complete our Bed of the Future bed replacement initiative. Moving now to Germany. Germany is a really exciting opportunity for us. I will start with a brief reminder of why this is the case. The German hotel market is 40% bigger than the UK, with a large independent sector, which has been a long-term decline. The market is also highly fragmented, meaning that owner operators like Premier Inn, are well placed to expand to acquiring, leasing or converting existing properties or by building new hotels. There is also scope for growth through selective bolt-on M&A. There is no clear market leader. The largest brand has approximately 2% market share compared to the 12% share that we have in the UK. And finally, as in the UK, the market has a high volume of short-stay domestic travel and a well-balanced customer mix between business and leisure. With just over 10,500 rooms and a presence in most major locations, we’re building a meaningful presence, which brings operational and scale benefits. Hamburg is a good example of this in action. We have just over 1,000 rooms in the city, achieving high levels of occupancy at attractive room rates that together are driving positive RevPAR growth. Whilst none of our hotels are mature yet, we are really encouraged by the performance of our more established hotels, such as Hamburg City Center, which remain on track to reach their target levels of return. Our goal is to become the Number One hotel brand in Germany. We are making encouraging progress. And as we grow, we are applying our learnings to ensure we further improve our offer and operating model under the guidance of our newly appointed in-country leadership team. Key priorities include launching our first online focused brand marketing campaign and optimizing our trading strategies, including the key events and trade fairs. We are also continuing our trial with online travel agencies to understand whether they can drive incremental revenues and profitability, whilst also increasing our brand awareness. The early results are encouraging, but we will run the trial through a full trading cycle and be guided by the data before making any final decisions. We are rolling out more Premier Inn Plus, rooms and have introduced more payment options that will make it even easier to book a room at Premier Inn. With high levels of domestic and inbound business travel, we are broadening our appeal to business guests, with the launch of our streamlined business platform in business. And we remain on course, both to break-even on a run rate basis later in 2024 and thereafter to reach our long-term goal of 10% to 14% returns on the GBP1.1 billion worth of capital we have already committed in this large and exciting market. Turning now to the third-pillar of our strategy, which is ensuring we continue to invest in our infrastructure and resources in order to support our exciting growth plans in both the UK and Germany. As I touched on earlier, one of the benefits of our vertically integrated operating model is that we capture all elements of the value chain. This in turn means we have significant control over our costs and can look to extract material savings. Today, we’ve announced Premier Inn's biggest cost efficiency program, which will deliver GBP150 million worth of savings over the next three years, helping to mitigate inflationary pressures and support margin growth. Given our scale, we’re continuously reviewing all areas of our business to see how we can save costs. We are already efficient and so there are no silver bullets here, but there are lots of small things that can add up to a lot. Examples, include rationalizing our product lines across our menus to increase savings through scale. Our upgraded technology stack also unlocks additional opportunities to drive efficiencies by the rollout of our check-in kiosks. Both of these initiatives will deliver material savings this year. The combination of higher efficiencies and our lower cost base following the optimization of our food and beverage portfolio will result in an even leaner, more agile cost structure. As I mentioned earlier, we have now completed the migration of all our hotels onto our new reservation system, which will allow us to become more digitally agile and realize significant commercial and operational benefits. We are progressing well with our other technology projects, including continuing to evolve our trading engine and rolling out new door locks to our rooms. So we'll enable our guests to check in on their mobile phones. And finally, I wanted to give you a brief update on our Force-for-Good sustainability program. Being a Force-for-Good is fundamental to the sustainable and long-term growth of our business. Our program comprises three core pillars; opportunity, responsibility and community. And our stretching targets are embedded across all areas of our business, ensuring that responsible business practices are integrated into our operations. Highlights over the past year include participating in key talent programs and continuing to support our well-established apprenticeship schemes as we made good progress towards developing a diverse talent pipeline at all levels, raising over GBP3 million to our partnership charities, including Great Ormond Street children's charity in the UK, and children.de in Germany, and continue to make progress towards our net zero targets with six of our hotels now fully powered by renewable energy, including the opening of our first all-electric hotel in Swindon. I'm now going to hand back to Hemant, who will cover capital allocation and the financial implications of our plans announced today.
Hemant Patel: Thank you, Dominic. Given the strength of our financial performance, our confidence in the longer-term outlook and the headroom available against our investment-grade metrics, we have, as promised, we applied our capital allocation framework. Just as a reminder, the priorities of our framework are to: maintain investment-grade leverage metrics, continue to invest in growing our business in the UK and Germany, including freehold purchases and bolt-on M&A as and when attractive opportunities arise, grow dividends in-line with earnings and lastly, return excess capital to shareholders. As I mentioned earlier, the strength of our performance meant after two share buybacks, our lease adjusted leverage end of the year at 2.9 times, which is within our investment grade threshold of 3.5 times. With the plans announced today relating to our Accelerating Growth Plan and our continued organic expansion in the UK and Germany, we are expecting gross CapEx spend this year to be between GBP550 million and GBP600 million. We expect that this will be partially offset by proceeds from property transactions of between GBP175 million to GBP225 million, as we look to recycle some of our capital via sale and leasebacks and other disposals. We already have line of sight to GBP75 million to GBP100 million of proceeds in Q1, including two sale and leaseback transactions at attractive yields. We will continue to look for further opportunities to recycle capital to maximize shareholder returns. Assuming these transactions are completed as expected, our net CapEx spend will be broadly unchanged from the year just gone. Given our financial performance, and the strength of our balance sheet and our confidence in the mid-year term outlook, we are recommending a 26% increase in the final dividend to [62.9 pence] (ph) per share and have also announced a further GBP150 million share buyback to be completed by the time of the interim results announcement in October. This will take cash returns to over GBP1 billion since April 2023. We will continue to reapply our framework on a regular basis, whilst continuing to strike the right balance between investing in profitable future growth and rewarding shareholders directly through increased dividends and share buybacks. As you've already heard from Dominic, we have a number of strategic and commercial plans that give us confidence in driving long-term profitable growth. I'll touch now on the outlook for the year ahead. In the UK, while still well ahead of FY '20, as you will have seen from the recent data, the market has not been as positive as it was this time last year. Whilst it's only been seven weeks, what we have seen in the short period is that whilst mid-week demand has been robust, there has been some softness in weekend demand influenced by the phasing of public holidays. This meant our total accommodation sales were just behind FY '24. However, the strength of our brand and commercial program has meant that we've continued to outperform the market. Just as a reminder, based on our latest guidance, including cost efficiencies and new room openings and before the impact of our accelerating growth plan that I will cover in a minute, we would need 2% to 3% of U.K. like-for-like sales growth in order to keep underlying UK profits flat. Our confidence in our performance is underpinned by the favorable supply backdrop, a strong forward book position, our commercial program, which is a number of levers to drive revenue growth, as well as our new increased efficiency plan. As I will comment you shortly, whilst the changes we are making in F&B, the launch of our extensions program, will have a temporary impact on our U.K. profits this year. The longer-term benefits will be substantial, helping us to make a bigger, more profitable business. In Germany, a number of trade fairs have helped drive business demand alongside rising leisure volumes. In the current trading period, total accommodation sales were well ahead of the same period in FY '24 and our cohort and more established hotels is achieving increasing levels of RevPAR and remains ahead of the M&A market. Our booked position is also positive with forward book revenue up versus this time last year. We, therefore remain confident in reaching breakeven on a run rate basis later this calendar year and are also on track to reach our longer-term target of 10% to 14% return on capital. And finally, the phasing of new room projects means that we expect to add between 750 and 1,250 rooms in the UK, around 400 rooms in Germany this year with a similar rate of openings into next year. As Dominic covered earlier, our Accelerating Growth Plan will boost our UK rooms pipeline by 50% and will deliver increased profits, margins and returns. This slide summarizes the expected overlay to our performance over the next few years. The moving parts are as follows. With the planned sale and conversion of around 240 brand new restaurants, we expect a reduction in F&B revenue in FY '25 between GBP80 million to GBP100 million with a transitionary one-off impact of GBP20 million to GBP25 million on UK PBT, as we move to the new format. However, this will be recovered the following year as the removal of loss-making restaurants offsets any remaining transitionary costs. So the overall impact in FY '26 will be neutral. By FY '27, the removal of the remaining loss-making restaurants plus a small benefit from new extension rooms that we'll be starting to open, will deliver a GBP30 million to GBP40 million uplift to PBT. Whilst all 3,500 rooms are open, we are confident in being able to deliver increased adjusted profit of between GBP80 million to GBP90 million per annum. Further details on our guidance for FY '25, can be found in our release this morning, as well as in the appendix of this presentation. I'm really confident that our strategic commercial plans together with our new efficiency program are going to deliver a step change in our profits, margins and returns. I'll now hand back to Dominic for some concluding remarks.
Dominic Paul: Thank you, Hemant. When I arrived back at Whitbread just over a year ago, it was clear that the business was performing well, and there was scope for significant future growth. The structural shift in UK supply is going to remain in place for some years to come, creating a unique opportunity to extend our market-leading position. We will deliver significant UK profit growth, through our strong commercial program and our Accelerating Growth Plan, which will enhance the service to our hotel guests, remove loss-making restaurants and to take advantage of the shortfall in supply. Germany is a really exciting opportunity for us. We are now reaching real scale and are on track to breakeven on a run rate basis this year and thereafter, reach our 10% to 14% target levels of return. Our focus on cost is a material source of value. We have launched Premier Inn's biggest ever cost efficiency program to deliver GBP150 million worth of savings over the next three years, helping us to offset inflation and drive margins. And finally, our balance sheet strength and large freehold property portfolio provides us with the flexibility to seize attractive investment opportunities, as well as recycle capital to drive increased returns for our shareholders. Together, these plans will deliver a step change in our medium-term financial performance, and we look forward with confidence as reflected by our increased recommended final dividend and a further share buyback. Thank you for listening. Hemant and I look forward to taking your questions at the live Q&A shortly.